Operator: Ladies and gentlemen, thank you for standing by and good evening. Thank you for joining Sohu's First Quarter 2016 Earnings Conference Call. At this time all participants are in a listen-only mode. After management's prepared remarks there will be a question-and-answer session. Today's conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the conference over to your host for today's conference call, Eric Yuan, Investor Relations Director of Sohu. Please go ahead, sir.
Eric Yuan: Thanks, operator. Thank you for joining us today to discuss Sohu's first quarter 2016 results. On the call are Chairman and the Chief Executive Officer, Dr. Charles Zhang; President and CFO, Carol Yu. Also with us from Changyou our Co-CEO Dewen Chan; CFO, Jasmine Zhou; as well as CEO of Sogou, Xiaochuan Wang; VP Finance of Sohu, Steven Sim. Before management begins their prepared remarks, I would like to remind you of the company's Safe Harbor statement in connection with today's conference call. Except for the historical information contained herein, the matters discussed in this conference call are forward-looking statements. These statements are based on current plans, estimates and projections and therefore you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution you that a number of important factors could cause actual results to differ materially from those contained in any forward-looking statements. For more information about the potential risks and uncertainties, please refer to the company's filings with the Securities and Exchange Commission, including its registration statement and most recent Annual Report on Form 10-K. With that, I will now turn the call over to Dr. Charles Zhang. Charles, please proceed.
Charles Zhang: Thank to everyone for joining our call. We got off to a good start this year as we met expectations for both top and bottom line results in the first quarter. For Sohu Media Portal, we worked hard to strengthen our value to users and advertisers, constantly refining our mobile products and advertising system. For Sohu Video, we are prepared to meaningfully step up our investments in content to enhance our competitiveness and stay in the race as a first tier player. Sogou achieved solid traction as its mobile search traffic continued to outgrow the industry. Changyou delivered in line financial results, while it strives to recreate the superior PC game experience on smartphone, in particular leveraging the vast user base of its most popular PC game TLBB. Before I give more details about our key businesses, let me summarize our financial results for the first quarter of 2016. Total revenues, $408 million, down 10% year-over-year and 12% quarter-over-quarter. For the first quarter of 2016, on a year-to-date basis the depreciation of R&D against U.S. dollar impacted our reported financial results. On a constant currency basis, total revenues in the first quarter of 2016 would have been $24 million higher, or down 5% year-over-year. Net brand advertising revenues were $126 million, down 6% year-over-year and 11% quarter-over-quarter. Of this, revenue from Sohu Media Portal, or Sohu.com ex Video, were $45 million, flat year-over-year. Sohu Video were $41 million, down 16% year-over-year. Sogou revenues were $147 million, up 27% year-over-year and down 11% quarter-over-quarter and posted net income of $22 million. Online game revenues were $103 million, down 45% year-over-year and 19% quarter-over-quarter. Non-GAAP net loss attributable to Sohu.com Inc. was $22 million, or $0.56 loss per fully diluted share. Now I will go through some of our key businesses. First, media business. With over 50 million active data users, Sohu Media Portal is one of the leading online news and information platform in China. In 2016, we aim to further strengthen our position and expand the usage of two key products. The Sohu News App and also the HTML5 portal. We are focusing on two things in particular. The first is to refine product design and technology as we look to enhance user engagement. And the second is to provide unique and high quality content. On the product side, in our latest version of Sohu News App, we added a number of user friendly features to improve engagement. For example, we allow user to personalize their own startup screens and they can also share the screen on Sohu Media. We also enhanced the real time stock quote and alert function. On the content side, we strive to combine Sohu's authoritative editorial voice with diversified articles from our partners. We consistently introduce new content from third party contributors to our platform. In the first quarter, more than 30,000 external authors provided articles for Sohu Media Portal with daily article volume about ten time of the same period of 2015. We also closely track hot topics and open customized channels such as [VR] [ph] channel. As our product and content achieve significant improvement over the past few quarters, we believe it is the right time to increase promotion activities to enhance our news and TV friendly image. In the first quarter we started to launch new, a few major marketing events to promote Sohu News App. We signed popular star, Wang Kai and Zhao Liying, [indiscernible] and Liu Shishi as spokesperson. We also offered App users randomly generated red envelopes with a small amount of money, receiving enthusiastic response from users. Upon the launch of red envelope campaign, the new download of App doubled compared with normal levels. For 2016, penetrating into more local cities is another important piece of our strategy. We have upgraded the City Channel in Sohu News App and provided local content for 365 cities. In the first quarter, we picked 30 second tier cities including Xi'an, Chengdu, Nanjing as a first step to conduct promotion activities to introduce our city channels to users and advertisers. On the monetization side, we continued to improve our proprietary app system and provide customers with more selection. Overall, in the first quarter revenues from Sohu Media Portal were flat compared with the same period of last year despite a worsening economy and the declining revenue from the PC. Moving to Sohu Video. The online video business is indisputably one of the most important popular Internet applications and mobile is only serving to fuel its growth. Sohu possesses the unparalleled DNA in the media and deep roots in China's entertainment industry which are critical to the success for an online video business. Despite intense competition that drives up the content cost, we are convinced and determined to maintain our status as a first tier player. In 2016, as with our competitors, we are ramping up our investment in content to make sure we have some of the most attractive content for users. For purchase of premium content in the first quarter, we have good coverage of domestic TV dramas, broadcasting seven out of ten most watched series. Including The Imperial Doctress, and Chronicle of Life. For the rest of the year we are totaling 17. We will expand the library and secure more top tier titles. Original content is an important segment that can help distinguish Sohu Video from competition. Leveraging our extensive experience and sound track record, we are proud to present a strong pipeline which covers a wide variety of programs including comedies, dramas, talk show and variety shows. In the first quarter we co-launched a variety show called Lip Sync Battle with Shenzhen TV. It was the first such program to be brought to China. The show has been well received by audience and the video views topped 200 million on our platform. In our pipeline, we plan to release around 20 to 30 original dramas and shows in 2016. For professionally generated content, or PGC, we are committed to build a healthy ecosystem with content partners. Last week we hosted the second PGC Author Forum. Announced to provide all around support to our leading partners with the entertainment, knowledge sharing and lifestyle as content categories that are most attractive to our users. To date, the number of our content partners went up to nearly 3000, while the daily upload from new clips increased 25% from the prior quarter. Financially, in the first quarter total revenues for Sohu Video increased to 6% year-over-year of that our ad revenue decreased 16% while non-ad business revenue posted strong growth that offset ad softness. To conclude, we firmly hold a positive view of the long-term prospects of online video business as we see tremendous opportunities ahead. The industry's overall dynamics will improve once the market stabilizes and monetization of video advertising increasing hence and other profitable business models emerge, such as subscription and live broadcast model establish. Online video is strategically important to Sohu Group and we will continue to invest aggressively in this space. Next moving to Sogou. In the first quarter, Sogou continued its solid momentum in terms of the product development, traffic and revenue growth. Looking ahead, artificial intelligence or AI is an area Sogou will invest aggressively. Recently, Sogou established a joint research institute with Tsinghua University to look for technology breakthrough in the field. Xiaochuan will update you in more details after my remarks. Lastly for Changyou. In the first quarter, China's PC game market remained soft and PC game players continued to migrate to mobile devices. The core value of PC games lies with the enormous user base accumulated over the years of operation. Recreating the PC game experience on mobile is therefore the most effective way forward. As such, for our two most successful games, TLBB and Blade Online, we have started the adaptation on the mobile, hoping to bring back the PC game players we previously lost to the mobile game market. For 2015, Changyou will continue to execute its mobile game strategy, our top games, big IT and mass marketing. It will allocate its best IT resources to best games and support these games with full scale marketing or seek to work with leading publishers in the industry. For Changyou most anticipated game, next to TLBB mobile game, the core members of research team, all have many years of experience on TLBB PC game. This new game features the classic theme of clans and brotherhood that will hope to attract the large group of loyal TLBB PC gamers. In the first quarter, Changyou reached a strategic agreement with Tencent on licensing the publishing rights of legacy TLBB mobile game. Besides that from second quarter onwards, testing will start for our topline of about ten mobile games which might hit the market later on this year and bring incremental revenues in the second half. And now I will pass the call over to Xiaochuan Wang for an overview of Sogou business. Xiaochuan?
Xiaochuan Wang: Thank you, Charles. In the quarter, Sogou's content [indiscernible] and all operating metrics continued to track well. Mobile search traffic more than doubled as compared to the same period of last year now contributing nearly two-thirds of total traffic. Our financial performance also exceeded our previous expectations. In RMB terms, total revenues and non-GAAP net income increased by 35% and 42% respectively. For 2016, we continue to focus on improving the quality of Sogou's core products and enhancing the overall user experience for our collaboration with Tencent, we deepened our cooperation with Wei Xin and refined our algorithm to significantly improve accuracy of our exclusive search function on Wei Xin official account. In the first quarter, daily active users of Sogou who search for Wei Xin content increased by 15% from a year ago, contributing to the healthy growth of mobile search traffic. On the other front, in addition to new text we have [indiscernible] our capability regarding both input and search function using voice and image. With this our products are better received by users, especially on smart phones. Take the voice feature, for example. In the past year, voice search queries and voice input to Sogou mobile keyboard, both increased by more than 100% from a year ago. Sogou mobile keyboard has emerged to be number one mobile app for voice input in China. Looking into 2016 and beyond, we plan to step up research in cutting-edge technology, in particular artificial intelligence, are pushing for breakthrough in visual cognition, natural language understanding, and knowledge representation and reasoning commonly referred to as KR, our goal is to build Sogou into a leading, innovative player in artificial intelligence in China. To that end, we are actively expanding our in-house research team. We are also looking for external collaboration opportunity. Last week, under the leadership of Charles, Sogou probably joined forces with Tsinghua University, China's premier university renowned for its science and engineering achievements, in setting up a joint research institute focusing on artificial intelligence. Leveraging on this new platform we will invite world-class scientists to lead the research programs. Their research findings will be applied to the next generation of Sogou products which will help enhance our competitiveness in the industry. Financially, for the first quarter Sogou total revenues reached $147 million, up 27% year-over-year, keeping the higher end of our prior guidance. On a constant currency basis, total revenues grew 35% as mobile monetization continued to gather momentum. Mobile search revenues contributed 44% of total search revenue, up from 22% a year ago. Non-GAAP net income was $22 million, up 34% from a year ago, or 42% when looking at it in RMB. I will now like to turn the call over to our VP Finance, Steven, who will walk you through group's financial results.
Steven Sim: Thank you Xiaochuan. I will walk you through the key financials for the first quarter. The profit and loss numbers mentioned below are all on a non-GAAP basis. For brand ad business, in the first quarter net brand advertising revenues were $126 million, down to [indiscernible] and 11% quarter-over-quarter. Of this, revenues of Sohu Media Portal were $45 million, flat year-over-year. Sohu Media posted net income of $1 million as compared to net income of $2 million in the prior year. Ad revenues of Sohu Video were $41 million, down 16% year-over-year. Sohu video posted net loss of $38 million as compared to net loss of $54 million in the prior year. For Sogou, for the first quarter total revenues were $147 million, up 27% year-over-year and down 11% quarter-over-quarter. Of this, search related revenues were $134 million, up 27% year-over-year and down 12% quarter-over-quarter. Sogou posted net income of $22 million as compared to net income of $16 million in the prior year. For Changyou, for the first quarter total revenues including 17173 were $130 million, down 38% year-over-year and 20% quarter-over-quarter. Changyou posted net income of $31 million as compared to net income of $52 million in the prior year. For the group, in the first quarter total revenues were $408 million, down 10% year-over-year and 12% quarter-over-quarter. Non-GAAP net loss attributable to Sohu.com Inc. was $22 million or $0.56 loss per fully diluted share. For the second quarter of 2016, we estimate total revenues to be between $420 million and $450 million. Brand advertising revenues to be between $125 million and $135 million. This implies an annual decrease of 11% to 17% and a sequential increase of nil to 8%. Sohu Media Portal revenues to be between 35% and 38% of the total brand advertising revenues. Sohu Video revenues to be between 36% and 39% of total brand advertising revenues. Sogou revenues to be between $175 million and $185 million. This implies an annual growth of 19% to 25% and a sequential increase of 19% to 26%. Online game revenues to be between $95 million and $105 million. This implies an annual decrease of 39% to 45% and a sequential decrease of 7% to a sequential increase of 2%. Before deducting the share of non-GAAP net income pertaining to non-controlling interest, non-GAAP net loss to be between $35 million and $45 million. Non-GAAP net loss attributable to Sohu.com Inc. to be between $50 million and $60 million, and non-GAAP loss per fully diluted share to be between $1.30 and $1.55. Assuming no new grants of share-based awards and that the market price of our shares is unchanged, we estimate that compensation expense relating to share based awards will be around $6 million to $7 million. GAAP net loss attributable to Sohu.com Inc. to be between $56 million and $66 million and GAAP loss per fully diluted share to be between $1.45 and $1.70. For the second quarter 2016 guidance, the company has adopted a presumed exchange rate of RMB6.6 to US$1 as compared with the actual exchange rate of approximately RMB6.12 to US$1 for the second quarter of 2015, and RMB6.53 to US$1 for the first quarter of 2016. Now I turn over the call to Carol to make her concluding remarks.
Carol Yu: Thanks, Steven. With our strong balance sheet and abundant cash on hand, the Sohu Group is well geared up to make investments in strategic areas, such as online video as well as Sogou's artificial intelligence initiative. I believe these investments will yield long-term returns for our shareholders. That concludes our prepared remarks. Operator, we would now like to open the call to questions.
Operator: [Operator Instructions] Our first question comes from the line of Dick Wei from Credit Suisse. Please ask your question.
Dick Wei: I guess my question is mainly about the content spending. If management can give more color in terms of maybe the area of spending, like type of content, so as maybe the investment amount. And related to the video side, what is the contribution of subscription revenue right now and what's the plan going forward. Thank you.
Charles Zhang: The content cost basically, the video content, that we are starting from Q1, actually Q2, we ramp up our content purchase, the premium titles, to basically own seven out of ten most popular TV channels.
Dick Wei: So the content spending will be mainly in the domestic drama front.
Charles Zhang: Yes.
Dick Wei: What about for the in-house production, as well as some foreign content?
Charles Zhang: Yes. We also have some production or we call it investment in content because it's really not in-house production. Actually we invest in some production house and producers to produce content. And overall some of those company investments are also becoming quite expensive now.
Dick Wei: And so roughly, what is the budget for this year and also how do we see the subscription side revenue contribute to Sohu Video revenue?
Charles Zhang: So we are not giving out the video content spending budget yet. We have a forecast of Q2 in terms of, you can pick out some of the numbers off of the forecast. And some cost are the video content cost and also marketing for the portals and also for videos. All lumped together. For subscription, I think, we still have a very small base and it really depends on whether we are able to generate, as I said, like 20 to 30 dramas, stories that we can charge subscription for users who watch a few episodes ahead. So we expect a growth, ramp up of subscription user base in the second half of the year once our content investment or self produced content are brought online.
Operator: Thank you. Our next question comes from the line of Eddie Leung from Merrill Lynch. Please go ahead.
Eddie Leung: Could you just give us an update on the pricing trend of your mobile apps on both media portal platform as well as on search? How does that compare with your PC pricing and has it been a key driver for the revenue growth on mobile? Thanks.
Charles Zhang: So media and search, are two different things. For media, I think the mobile advertising are quite a different format compared with the PC advertising. It's mostly happen with the information screen. It's going down our news app's information screen or new screen, and seven to ten news items will be one embedded advertising . And this could be narrow banner or actually wider, taller banner or even a video clip. So it's not comparable to the PC advertising. The trend is definitely the mobile. Actually the pricing, it's going up, actually. Because we have a better technology to target the -- because we have mobile app, we understand our users much better. So we deliver the right advertiser, right user to the right customers, advertising clients. Then for this kind of position targeted, so we are asking for higher CPM. So the overall average CPM price is going up.
Unidentified Company Representative: Yes. For the search business we commonly use RPM to look at the monetization capability. On PC, RPM still grew by single digit but its slowing down. And now mobile monetization RPM maintains about 20% growth year on year.
Operator: Thank you. Our next question comes from the line of Juan Lin from 86Research. Please go ahead.
Juan Lin: I have questions related to Sogou business. The first question is, I am wondering how of Sogou's revenue is contributed from mobile. And second question is, your guidance for Sogou growth indicates a slight growth slowdown from the first quarter. Do you feel that other media platforms are taking market share from advertisers' search budget and whether we should expect further growth slowing down for search related revenue for the rest of the year? Thank you.
Xiaochuan Wang: [Interpreted] So for mobile search revenue, it accounts for 44% of total search revenue. We are still gaining search market share but for the overall search market, there is some impact from macro and also the big picture is that the overall market is slowing down for search. And for the first quarter we had expected that our revenue growth will slow down and that we will continue to see a singular momentum for the second quarter. So in terms of other forms of media has taken, our share search advertising, we think [indiscernible] is more impacted by newsfeed advertising -- key accounts, right. And the small media business is less impacted.
Operator: Thank you. Our next question comes from the line of Thomas Chong of Citigroup. Please go ahead.
Thomas Chong: I have two questions. The first question is regarding [Changyou] [ph]. Can management give us some color about your strategy in this area and whether you will cooperate with your PGC strategy? And my second question is about the US$120 investment made by Sogou into the joint venture with Tsinghua. Can management give us some color about how much more additional investment should we expect in the coming future? Thanks.
Charles Zhang: Well, your question is very up to trend. It is very very popular [Changyou] [ph] and mostly happen with live broadcast. We have developed our oven live broadcast already for about two years so we already launched it. And recently we launched the mobile version. So it's called [indiscernible]. So again to market our product, this service and product, aggressively in second half in Q2 this quarter and forward. Since we have advantage of PGC. We have a very highly established PGC offering. It's delayed Internet broadcasting but its related to -- can be cross-promoted with [indiscernible] a live broadcast. And also Sohu's strong presence in the entertainment industry and our basically very good relations with the Chinese celebrities, so that we are getting quite a lot of celebrities to do the [indiscernible]. So we hope that we are, I think we are able to really to meet the challenge and really to launch new home business. For Tsinghua' joint venture, I don’t think for the 30 million -- I don’t think we will invest more. So it's already enough to establish the building and research institute for the research.
Operator: Thank you. Our next question comes from the line of Natalie Wu from CICC. Please ask your question.
Unidentified Analyst: It's [indiscernible] could you provide assumptions behind the second quarter guidance non-GAAP net income?
Charles Zhang: The second quarter guidance, net income?
Unidentified Analyst: Yes.
Charles Zhang: Sorry. Please repeat your question.
Unidentified Analyst: Could you please provide assumptions behind the guidance of second quarter net income?
Charles Zhang: You mean the assumption, how we derive the guidance of the second quarter, right?
Unidentified Analyst: Yes. That’s right.
Charles Zhang: Assumption. I think as I said, we are entering 2016, we are wrapping up our video content investment and also the Sohu Media Portal's marketing activity, we will continue our marketing throughout the year. The cost or the spending will be higher compared with the previous year or previous quarters. So that’s why we are entering a larger loss.
Operator: Thank you. Our next question comes from the line of Chi Tsang from HSBC. Please ask your question.
Chi Tsang: Firstly, I was wondering if Charles could just give us an update on his proposed investment? I was wondering if there was anything new regarding that. And secondly I had a couple of questions on Sogou. Can you give us a sense -- and secondly I had a few questions on Sogou. Can you give us a sense of what the overall traffic growth might be? You talked about mobile. I am wondering if total traffic growth including PC and I am wondering, also, what percentage of your queries today are related to [indiscernible] content and how do you expect to monetize those queries. Thank you.
Charles Zhang: Regarding [indiscernible] I have no comments. I have no comment about that. About Sogou?
Xiaochuan Wang: [Interpreted] So in terms of traffic, on PC we have started to see that there is a slight decrease in PC traffic. But mobile traffic is still growing nicely. In the first quarter it more than doubled than a year ago. In terms of leasing or QQ related content, actually 60% of Sogou's results include such content. It's part of -- we monetize them directly. So Weixin or QQ but as a part of our overall monetization of Sogou. So it's being indirectly monetized.
Operator: Thank you. Our next question comes from the line of Hillman Chan from Macquarie. Please ask your question.
Hillman Chan: Good evening, management. Thank you for taking my question. Regarding your media portal and search business, can you talk about the momentum of your top contributing industries within them? Thank you.
Charles Zhang: So we are having, for media portal, actually now first one is the Internet services followed by auto and then IT. And then number 4 is fast moving consumer goods and number five is financial services. So this is a top five industry and sectors that advertise on the Sohu Media Portal.
Xiaochuan Wang: [Interpreted] For search top verticals remain pretty consistent as in the past quarters. It's still ecommerce, healthcare, business services, gaming and merchant services.
Operator: Thank you. Our next question comes from the line of George Meng from Goldman Sachs. Please go ahead.
George Meng: Thank you very much for taking my question. I have two questions. The first one is regarding your video business. So you talk about your differentiated content strategy in the past, but now you're saying that you're going to step up your content spending, especially on the domestic drama side to basically stay in the league. So is that a change of your overall content strategy? And also I think now, if you look at your top tiers, about one-third of some of the leading players and then you're running at about minus 100% margin. So if you're going to increase your content spending, what's your target for both for the top line as well as for the margin? Should we look for a improved margin or because of the higher content spending we should actually look at in the near-term an even bigger loss on the margin side? And I have a second question, thanks.
Charles Zhang: Well, I think each video site has a differentiated content strategy but the hottest, the most serious battlefield is still in the -- we call it the head content. The premium titles. So that actually in Q4 last year we kind of typically do that, we stop spending. We reduce the spending and then reduce the -- without a traffic slowdown. So we decided this year that if we are going to compete, we need to match up with the -- well, not the amount but the ownership of the titles similar to our competitors. So we need to basically renter the market and buy top titles, premier content. And as we have got competitors, they are all spending and also price per episode continued to grow, to rise. And only with this head content that become -- people are all buying a phenomenon. All these top shows like the [indiscernible] the broadcast by a major TV station and whole nation was watching. So these top titles, traffic will come to your sight. And then you have other content. You have differentiated strategy, like Sohu's own produced content and also Sohu's PGC and others. That will be rerouting. So the battlefield is still in the head content for now and I don’t see maybe in the next two years continue and I am sure some new things model really to replace this TV like battlefield. That means, of course we are going to smartly market it and also enhance our advertising capability. But short-term we will see worsening margins.
George Meng: Okay. Great. But when do you expect that margin to turnaround, maybe in 2017 or you don’t really have a target?
Charles Zhang: We don’t have a target.
George Meng: Okay. Great. My second question...
Charles Zhang: Yes. A battlefield from the future. For the future the most application, the video application of Internet.
George Meng: And my second question is for Xiaochuan especially on the artificial intelligence side. So do you have any near-term tangible revenue contribution plan in mind? Or it's more about the research side? And if it's more on the research side, have you made any material progress in there. And there is that you mentioned on, for example, visual recognition, natural language processing and reasoning? Any color would be very helpful. And lastly, what's going to be the costs associated with this? Is it just going to be one-off with that investment into that JV, or it will be a continued investment? And if so, what's the likely investment on an annual basis? Thanks.
Xiaochuan Wang: [Interpreted] We have been putting a lot of efforts in artificial intelligence and applied related results into our products. For example, voice recognition technology being used in voice research and image recognition being used in image search. All these AI-powered technologies help improve our search accuracy. Our advantage in this arena is that we have accumulated a lot of related data. For example, the Sogou mobile keyboard that we have had a huge user base and everyday they input a lot of -- they use voice input a lot of time so that gives us opportunity to further improve our voice recognition technology and we use this into a number of scenarios, both inputting and searching for information. And these are very helpful to our product optimization. But we think we still have a lot of room for improvement. First we need to leverage university process to enhance our research capability and for the longer term innovation we also need top talent to join our research programs. So that’s why we leverage this talent to work with Tsinghua university to set up a joint research institute and we hope that can advance or research in AI more quickly. In 2016 R&D expenses accounted for roughly 20% of our total revenue and in this year we increased our spending in proportion with revenue growth and in the next few years we expect to continue to invest progressively to push for some breakthrough in artificial intelligence.
Charles Zhang: Yes. So it's one time, just small increment.
Operator: Thank you. With that ladies and gentlemen, we have come to the end of the conference call for today. Thank you for participating. You may all disconnect.